Operator: Good day. And thank you for standing by. Welcome to the Brandywine Realty Trust Fourth Quarter 2022 Earnings Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Jerry Sweeney, President and CEO. You may begin.
Jerry Sweeney: Catherine, thank you very much. Good morning, everyone and thank you for participating in our fourth quarter 2022 earnings call. On today's call with me today are George Johnstone, our Executive Vice President of Operations; Dan Palazzo; our Vice President and Chief Accounting Officer and Tom Wirth, our Executive Vice President and Chief Financial Officer. Prior to beginning, certain information discussed during our call may constitute forward-looking statements within the meaning of the federal securities law. Although, we believe estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. For further information on factors that could impact our anticipated results, please reference our press release as well as our most recent annual and quarterly reports that we file with the SEC. Well, first and foremost, we hope that you and your family had a wonderful holiday season and are looking forward to a successful 2023. During our prepared remarks this morning, we'll briefly review fourth quarter results, provide color on recent transactions and outline our ‘23 business plan. Tom will then review our ‘22 results and frame out the key assumptions driving our ‘23 guidance. After that certainly Dan, George, Tom and I are available to answer any questions. So quickly reviewing our ‘22 results we posted fourth quarter FFO of $0.32 per share in line with consensus and full year FFO of $1.38 per share, which exceeded consensus estimates by $0.01 per share. During the fourth quarter of ‘22, we executed 226,000 square feet of leases, including 142,000 square feet of new leasing activity. For 2022, we leased 1.8 million square feet of space, which compares favorably to both our volumes in 2021 and 2022. More specifically, looking at 2022, our new leases that we executed during the year exceeded our ‘21 new leasing activity by 11%, it was equal to pre pandemic levels that we experienced back in the fourth quarter of 2019. We also post a rental rate mark-to-market of 21% on a GAAP basis, and 12.5% on a cash basis. Our full year mark-to-market was just shy of 19% on a GAAP basis and just shy of 10% on a cash basis. Absorption for the quarter was negative by 123,000 square feet. Now half of this negative absorption was the result of a tenant default in Austin, while the other half were known tenant move outs, which resulted in a quarterly retention rate below our annual run rate. So for the year we did post the retention above our business plan guidance at 64%. We did end the quarter at 89.8% occupied and 91% lease which were below our targets. And the previously mentioned tenant default accounted for about 50 basis points on each of those metrics. And occupancy was generally a little bit lower due to anticipated December move into split into January and the sale of our forward Tower Bridge property. From an occupancy and leasing standpoint, our DC portfolio continues to underperform. And as such, it's worth noting that our Philadelphia, Pennsylvania suburbs and Austin portfolios, which comprise about 93% of our NOI are 91.7% occupied and 92.7% lease, spec revenue of $35.7 million exceeded the midpoint of our $34 million to $36 million range. As we look at it, the portfolio is solid with a stable outlook. As we noted in the supplemental package, we have reduced our forward rollover exposure through ‘24 to an average of 6.2% and through ‘26 to an average of 7%. Physical tour volume has also been encouraging. Fourth quarter physical tours exceeded third quarter tours by 50% and was also ahead of our fourth quarter ‘21 tour buying by 12%. For the full year ’22, our tour volume was over 1.2 million square feet. We also continue to experience tenants taking advantage of opportunities to move up the quality curve. During 2022, over 600,000 square feet of leasing activity was the result of this flight to quality. In addition, looking at our portfolio tenant expansions continue to outweigh tenant contractions as a point of reference in 2022 expansions totaled 325,000 square feet, while contractions totaled 132,000 square feet. So almost a 2.5 to 1 ratio of expansions over contractions. Our leasing pipeline of 3 million square feet is about 1.2 million on our operating portfolio, and 1.8 million on our development projects. On our operating portfolio which includes about 184,000 square feet in advanced stages of lease negotiations. Also 41% of that pipeline are prospects looking to move up the quality curve. And in fact, during the fourth quarter 58% of the new leases we executed were flight to quality tenants. Looking at some financial metrics, based on increased 2022 leasing activity and higher EBITDA, our fourth quarter net debt to EBITDA ratio decreased to 7.0x from the 7.2 in the third quarter. And as we've discussed, this ratio was transitionally higher due to our development spend and the debt attribution from our joint venture activity. The more meaningful metric we track is our core net debt to EBITDA, which ended the year at the midpoint of our range of 6.2x and certainly in times of rate volatility and economic uncertainty, leasing and liquidity are our two key benchmarks. So since our last call, we've made significant progress on both the financing and capital recycling fronts by raising over $745 million of proceeds. As previously announced in December we completed a five-year $350 million unsecured bond offering at a 7.5% coupon. Those proceeds were essentially used to retire our February bond maturity. In January, we did complete a five-year $245 million secured financing with a 5 -- 5 -- an 8.75% coupon that's collateralized by seven wholly owned properties. The note has flexible release and prepayment provisions debt of about two years. And it's important to note, we took the secured route solely due to pricing differences between the secured and unsecured debt markets as we do plan to remain an investment grade unsecured borrower. Also during the fourth quarter, we get actually two sales generating $130 million of proceeds, the cap rates on those two sales were below 6%. The team also swapped our $250 million unsecured term loan towards June 27 maturity date at roughly 5%. So the results of all these combined transactions significantly improved our liquidity. Our consolidated debt is 96% fixed at essentially a 5% rate. We have no consolidated debt matures until our October 24 $350 million bond. We also now have full availability on our $600 million unsecured line of credit and approximately $30 million of unrestricted cash on hand. As we noted on page 13 in our SIP, based on our full development spending projections, our 2023 business plan execution after fully funding our remaining development spend all TI leasing and capital costs, we expect to have about $590 million of available capacity at yearend ‘23. So based on our business plan, only $10 million of net usage during the year so very strong liquidity position. Turning quickly to 2023. We are providing ‘23 earnings guidance and FFO range of $1.12 to $1.20 per share for midpoint of $1.16 per share. At the midpoint the ‘23 FFO projection is $0.23 per share below our ‘22 FFO. The primary drivers are as follows. Our ‘23 NOI will exceed ‘22 levels by $20 million, or about $0.10 a share. Those improved operating results include contributions from 405 Colorado, 250 King of Prussia Road and 2340 Dulles as well as higher same store results. This NOI growth though is offset by $33 million, or $0.19 per share due to increased interest expense on the recently completed financings. We also have about $0.08 per share decrease in our contribution from joint ventures, primarily due to higher interest rates, and initial projected losses from several development projects coming online and not being stabilized until after ‘23. We also anticipate about a $0.04 per share decline in other income as well as a $0.02 per share decrease in projected land gains over the activity in 2022. And Tom can certainly amplify those points in more detail. Our ‘23 plan is headlined by two key operating metrics. Our cash mark-to-market range is between 4% and 6% and GAAP mark-to-market is between 11% and 13%. While these ranges are lower than our ‘22 levels, they certainly remain very strong, and it's primarily driven by the composition of our projected ‘23 leasing activity. For example, during 2022 with much higher leasing revenue contributions from CBD, University City and the Pennsylvania suburbs. For ’23, higher leasing volumes have shifted to Austin Texas given a high level of occupancy in our core Pennsylvania and Philadelphia markets. Our mark-to-market in CBD and University City will perform above our business plan ranges while Austin given current market conditions in demand drivers are anticipated to perform below those ranges. Spec revenue will be between $17 million and $19 million with $10 million or 56% done at the midpoint. The occupancy levels will be between 90% and 91%. Leasing levels between 91% and 92%. Retention rate will be between 49% and 51%. We do anticipate same store NOI growth will range from zero to 2% on a GAAP basis. And between 2.5% and 3.5% on a cash basis. Capital will run about 12% of revenues, which is lower than the 2022 results. And based on increased 2023 leasing activity and the continued development and redevelopment spend, we do project our net debt to EBITDA to be in the range of 7.0% to 7.3% with our core leverage between 6.2% and 6.5%. At the guidance midpoint our current dividend of $0.76 per share represents a 66% FFO payout ratio and 100% CAD payout ratio. Our business plan as we'll talk in a few moments does project between $100 million and $125 million of sales activity that could generate additional gains. And more importantly, with liquidity needs substantially addressed this targeted sale activity, we believe conservative underpinnings to our coverage ratios, we are keeping the dividend at current levels. Certainly as the business plan progresses, and we get more clarity on economic outlook, the board will as they always do continue to monitor both our coverages and the dividend payout levels. In addition to the financing activities that we already completed, we are actively engaged and planned to enter into a construction loan on our 155 King of Prussia Road project, which is fully leased and our 3151 Market Street project here Schuylkill Yards during the first half of the year. During 2023, we also have two joint ventures with non-recourse loans maturing. We are already well underway with the refinancing discussions for these loans as well. The first one is a $20 million loan on our Commerce Square joint venture is a very low levered financing with a significant current debt yield. And we're currently in the market to refinance that mortgage. We currently have over 15 lenders reviewing this financing opportunity. The second maturity is in August of ‘23. And refinancing efforts with our partners are underway there as well. As I touched on during the year, we are including a range in our business plan of between $100 million to $125 million at dispositions. We anticipate those occurring in the second half of the year. And we anticipate to generate those proceeds will have between $200 million to $300 million of properties in the market for price discovery. In looking at development, we currently have $1.2 billion under active development, of that our wholly owned development aggregates $302 million and is 30% Life Science and 70% office. This portfolio is 83% leased with remaining funding requirements as we outlined in the SIP of $91 million. On the joint venture front, our development pipeline approximates $930 million, with a Brandywine share of $500 million. At full cost, this pipeline is 31% residential, 41% Life Science and 28% office. Brandywine’s remaining funding obligation in this entire pipeline is $4 million, with $68 million of equity remaining to be funded by our joint venture partners. Furthermore, as I mentioned in the last call, other than fully leased build a suit opportunities, our future development starts are on hold, pending more leasing on the existing joint venture pipeline, and more clarity on the cost of debt, capital and cap rates. Looking ahead, though, we do plan to develop about 3 million square feet of life science space. And upon completion of the existing properties, we will have approximately 800,000 square feet of life science space in operation, representing about 8% of our portfolio. As we identified on page 6 in the SIP, our objective is to grow our life science platform to that 21% of our square footage. Just a quick review of specific projects. At 2340, our redevelopment project is now 92% leased with $45 million of remaining funding and a mid-year coming online at that lease -- for those leases. 250 King of Prussia Road in our Radnor some market remains 53% leased with a strong pipeline of over 200,000 square feet. You will note in the SIP we had increased our costs on this project as our original pro forma assumed a 50:50 office and life science split. The pipeline is now 100% life science which while requiring more capital is also generating longer term leases at a higher return on cost. And given the extended build that of the pipeline of several key prospects for life science base, we have also split the stabilization to Q1 of ’24. 3025 JFK, our life science residential tower is on time and on budget for delivery in the second half of the year. We currently have an active pipeline totaling 472,000 square feet, which is up about 75,000 square feet from last quarter. The project continued to see more activity as construction progresses. And the superstructure is now complete the window wall systems halfway up the building. We've done over 120 Hard Hat tours. We also expect to start delivery of the first block of residential units in the second half of this year, so all remains on schedule there. 3151 Market, our 440,000 square foot dedicated life size building is also on schedule and on budget. We have a leasing pipeline totaling over 400,000 square feet, which again is up from Q3. And as I touched on during, we anticipate we will enter into a construction loan on this project in the second half of ‘23. Uptown ATX Block A, construction in Austin is also on time and on budget. On the office component, our leasing pipeline, there is 500,000 square feet. That pipeline is down from last quarter, primarily due to two larger users putting their requirements on hold. Our focus up to that -- up to this point has really been on full building users. We're now shifting to a multi-tenant marketing program. So expect that pipeline to build as the quarter progresses. And to wrap up our commentary on the development pipeline. But the key phrase in our forward pipeline is timing flexibility. We have a low land basis and product diversity, of the 13 million square feet that we can build only about 25% required to the office. With the ability to do between 3 and 4 million square feet of life science and over 4,000 apartments. Our overlay approvals do give us flexibility to further adjust that next meet market demands. Our ‘23 business plan does include as I mentioned the $100 million to $120 million of property dispositions, we expect they'll occur in the second half of the year. While not really including many in our plan for ’23, we do anticipate continuing to sell non-core land parcels and looking at our joint ventures $458 million of our debt levels or about 19% of our total debt is coming from our joint ventures with about $416 million of that coming from our operating JVs. Our 2023 plan anticipates recapitalizing several of those JVs. So our plan assumes we will reduce attributed debt from operating JVs by about $100 million or 24% by the end of the year. Certainly a dollar is generated from these activities were used to improve our existing strong liquidity, fund our remaining development pipeline, reduce leverage and redeploy into higher growth opportunities, including as liquidity permits stock and debt buybacks on a leverage neutral basis. Tom will now provide an overview of our financial results.
Tom Wirth: Thank you, Jerry. Our fourth quarter net income totaled $29.5 million or $0.17 per diluted share, and FFO totaled $55.7 million or $0.32 per diluted share in line with consensus estimates. Some general observations report regarding the fourth quarter while our fourth quarter results were in line with consensus, we had a number of moving pieces and several variances compared to our third quarter call guidance. Our portfolio occupants, portfolio income was up by $900,000 above our third quarter guidance call primarily due to overall portfolio performance being better throughout the portfolio. Termination and other income totaled $2.7 million. It was $800,000 below our third quarter forecast, primarily due to budgeted other income items that will occur in 2023. Interest expense totaled $20.5 million or $2 million below our third quarter guidance primarily due to the higher capitalized interest and our slower capital spend. So our line of credit balance at the end of the year was below where we thought to be x the bond deals transaction. G&A expense totaled $9.1 million or $1.1 million above our third quarter guidance. The increase was due to a $1.8 million onetime charge for the write off of acquisition pursuit costs partially offset by lower personnel costs. Before tested one land sale to generate 800,000 gains in the quarter which did not occur. We anticipate that transactions to occur in the first quarter. Our fourth quarter debt service and interest coverage ratios were 3.3 and 3.5 respectively. And net debt to GAV was slightly below 40%. Our fourth quarter annualized net debt to EBITDA was 7.0 and 1/10 of a churn above our high end of our guidance, which was 6 to 6.9. As far as the portfolio changes, we expect this year, we do expect that we will have four or five, stabilize and become part of our core portfolio during 2023. On the financing activities Jerry outline since our last call, we have made significant progress on our financing and capital recycling fronts. In December ’22, we did complete the five-year $350 million unsecured bond offering at 7.55% coupon and in January completed a five-year $245 million secured financing at 5.875%. And it's collateralized by seven wholly owned properties. Those two financings raised $595 million at a blended rate of 6.7%. Prior to the securing secured financing, our wholly owned portfolio was completely unencumbered. And we anticipate that will remain as unsecured borrowing, we will remain an unsecured borrower on future financings. We also swapped our $250 million unsecured term loan through its June 27 maturity date, and our consolidated debt is now 96% fixed at just over 5% rate, only our floating line of -- only our line of credit and trust preferred securities are floating rate on the balance sheet. Regarding joint venture debt, we are currently working on the 2023 maturities including active marketing of our Commerce Square property. We also are already working with our ‘24 maturities with our partners to possibly extend the current maturity dates with existing lenders. We're also considering some asset sales to lower leverage. 2023 guidance, at the midpoint our net loss is $0.08 per share on a loss basis, and FFO will be $1.16 per diluted share. Based on the midpoint, FFO has decreased $0.22 per share. As Jerry mentioned, the primary drivers being GAAP and NOI being up. We do expect a small increase in management fees. But we do expect other income to be lower, interest incomes to be lower as a result of the sale of 1919 Market Street in Philadelphia and our JV. Interest expense is going to be up $23 million. Our land gains are down $5 million and the JV FFO is down 16.8 which is primarily interest expense that we anticipate happening due to higher rates but also some of our liability management in terms of caps and swaps that will burn off. We do also anticipate some initial losses primarily on the opening of our residential project at Schuylkill Yards West. Our 2023 range was built on some of the following assumptions. GAAP NOI will be $3.4 million, an increase of $20 million. Most of that is due to 2340 and 405 Colorado, having incrementally higher NOI as we go through the year, we expect continued leasing of our life science development at 250 King of Prussia to be about $5 million. And we do expect about $3 million of net increase to the improvement on the same store portfolio. Our FFO contribution from joint ventures will total $8 million to $10 million. And that is primarily due to lower income due to the higher interest expense. G&A expense will be $34 million to $35 million and consistent with 2022. As we talked about, total interest expense will be about $105 million. We do forecast some use of a line of credit throughout the year. But as we have the asset sales hit in the later part of the second half of the year. We do expect that to bring the line down but there will be incremental interest expense during that time. Capital interest -- capitalized interest will increase it to 1$2 million as we continue our development and redevelopment projects. And we have $2 million to $4 million of land sales program for this year. We do anticipate further progress on selling non-core land parcels. And then those numbers can change as we go through the year as well. Termination and other income, $5 million to $6 million, which is below 2022 due to several anticipated onetime items and normal recurring activity in ‘22 that we don't see happening in ‘23. Net management fees will be between $15 million and $16 million. And we do have the property sales as Jerry mentioned at the second half of the year between $100 million and $125 million. There are no property acquisitions in our model. There's no ATM or share buyback activity in the model and we anticipate a construction loan on 155 King of Prussia Road. Our share count will be approximately 174 million shares. As we look at the first quarter of the year, general assumptions are that we'll have about $73 million of property NOI. The FFO contribution from our joint ventures will total $5.5 million, G&A will increase to $9.5 million. This is normal for the first half of the year as we have sequential increases due to our compensation expenses recognized and total interest expense will be $24.5 million. Termination fee should be about $2 million. And we expect land gains to be about $1.5 million. From a capital plan perspective, our plan is about $465 million. Our CAD rage as Jerry mentioned between 95% and 105%. The main contributor to the higher range is primarily due to lower earnings, partially offset by reduced leasing costs. Those uses are going to be $105 million for development and redevelopment. The primary uses are going to be for 405 Colorado, 250 King of Prussia Road, 2340 Dulles and some work on Broadmoor infrastructure. Our common dividend is $132 million, revenue maintain should be about $34 million, $60 million of revenue create capital equity contributions to our joint ventures total. Some of that will be the development joint ventures but we also anticipate some capital contributions to our operating joint ventures including Commerce Square. We had $54 million to retire the balance of our bonds in January. And the primary sources are going to be cash flow from operations of $175 million. The secure term loan which did close and generated $236 million of proceeds, $80 million of our cash on hand and about $120 million between the land sales as well as the program sales between $100 and $125 million. Based on that capital plan, our line of credit balance will decrease by approximately $84 million at the end of the year leaving almost full availability. We also projected our net debt to EBITDA will range between 7.0 and 7.3. And the increase is primarily due to the incremental spend on a development project, which will have minimal income by yearend. And our net debt to JV will be in the 40% to 42% range. Our additional metric of core net debt to EBITDA will be 6.2 to 6.5 by the end of the year. That excludes our joint ventures and active development projects, but will include closed projects such as 405 Colorado. We believe this core metric better reflects the leverage of our core portfolio and eliminates our more highly leveraged joint ventures and our un-stabilized development and redevelopment projects. We believe these ratios are elevated. And due to growing development pipeline, and we believe that as these developments are stabilized, our leverage will decrease back towards the core leverage ratios. We anticipate our fixed charging interest coverage ratios will approximate 2.7x, which represents a sequential decrease in those coverage ratios primarily due to the capital spend, but also the higher interest rates. I will now turn the call back over to Jerry.
Jerry Sweeney: Tom ,Thank you very much. So key takeaways or we believe the portfolio is in solid shape from an operation standpoint, our average annual rollover exposure through ‘26 is only 7%. With strong mark-to-market, manageable capital spends and stable and accelerating leasing velocity. Since last quarter, we have fully covered all of our wholly near-term liquidity needs, we finance our ‘23 bonds, as Tom mentioned, I mentioned only reduced our line of credit to zero, and presented a baseline business plan that continues to improve all liquidity while fully covering our dividend and keeps our operating portfolio in very solid footing with strong forward growth prospects. As usual end where we start and that we really do wish you and your families well. And with that we'd be delighted to open up the floor for questions. We do ask that in the interest of time you limit yourself to one question and a follow up. Catherine.
Operator: [Operator Instructions] Our first question comes from Steve Sakwa from Evercore ISI.
Steve Sakwa: Yes, thanks. Good morning, Jerry and Tom. I guess I just wanted to start on the operating portfolio and some of the outlooks for lease and core occupancy. I know those numbers came in at the end of the year, kind of below your original forecasts. And some of those numbers are expected to be flat or even up in ‘22. And but you've got a lower retention ratio. So just trying to sort of square up your confidence level, in kind of the new leasing pipeline to kind of hit your leasing and occupancy numbers that seem to fall short last year.
Jerry Sweeney: Sure, Steve, George, why don’t you take that one?
George Johnstone: Yes, sure. Glad to and good morning, look on fourth quarter occupancy, we did, in fact, come up short the tenant default in Austin was 51 basis points, we had another 42,000 square feet or about 330 basis points of occupancy that did occur in January, but substantial completion, and the actual moving process did not occur in December. So all-in-all we thought we'd probably be closer to 90.7, which would have been about 34,000 square feet off of our 91% bottom end the outlook for ‘22 is probably again, close to a 90% average occupancy, that really being driven twofold, in Pennsylvania and CBD Philadelphia, we're going to average about a 93% occupancy levels for the year, but in Austin in DC, only an 82%. And as Jerry mentioned in his commentary, that's really the some of the dynamic that is occurring with CBD at 96% occupied for the year, the contribution levels that we will require and anticipate out of Austin, have risen. They were roughly 16% of our square footage contribution in ‘22, and are now projected to be about 32% of our square footage contribution in ‘23. The pipeline is relatively consistent with what we've seen in the past. As it relates to Austin, in particular, since a lot of our focus is there, we have seen some good levels of tour activity, we do have a lease out currently on about 12,000 square feet of that space that was defaulted and given back in December. So we're starting to see activity levels already in that building. So we remain positive, we still believe in the growth characteristics of Austin, a lot of our suburban properties are somewhat insulated from the big tech companies. And we see a lot more of financial service and just professional service prospects in that pipeline. Hope that answers --
Steve Sakwa: Okay, and then maybe just quickly, yes, so thank you, I just wanted to touch quickly. Jerry, you talked about the 1.8 square feet on the development pipeline, and I know you've kind of walked through 3025, 3051, it sounded like Austin maybe was a bit slower. But can you just give us a little more color on the tenants that you're talking to the timelines? Like how many of these are new to Philadelphia for the life science assets? And are the Austin tenants kind of new to Austin or they expanding tenants in Austin and obviously that mark is feeling some pressure with the tech slowdown which you mentioned, but just case any flavor on kind of in-house tenants or in market tenants versus new to the market?
Jerry Sweeney: Sure, happy to, and look, take a look at the Schuylkill Yards development, Steve, which is really the 3025 which companies coming online later this year, then 3151, which is about a year behind. As I touched on the pipeline is up quarter-over-quarter. The majority of the prospects are significant growth of in market companies. We have several who are new to the Philadelphia region. But the larger square footage tenants are consolidations from other areas around the city but also coupled with some significant expansion capabilities. So that seems to be the major driver in the life science tenant base that we're talking to Schuylkill Yards. From an office standpoint, they're all kind of in region companies. Not all in city but in region companies looking to kind of move up to higher quality, more amenitized projects. And just to touch on that for just one second, before I jump to Austin. And we continue to be very pleased. I know there's a lot of dissonance of what's happened in the office sector, we do continue to be very pleased with the level of new prospect activity that we're seeing across the board of tenants love to move from older into call it better, higher quality, better managed better run buildings. That's a trend line that we've seen, really for the last two years. And we're an interesting position because we have a very good high quality existing portfolio, and then very good new developments. And it's actually been quite pleasantly surprised to see the velocity of new deals coming into our pipeline from a market company but are looking to really upgrade their stock. And at this point, even with economic uncertainty, those tenants still seem to be willing to pay the higher quality, the higher rents to get into those higher quality building. So we monitor that dynamic very closely through our CRM software tools, our outreach programs and actually tracking the pipeline on a weekly basis. Relative to Austin, we'd really been focused thus far, Steve on trying to find a substantial full building user. And we had a number of those in the marketplace that were doing a lot of tours with us and a lot of discussions and trading in paper. As I mentioned in my comments, a couple of those got really put on hold not dead but put on hold. So we are shifting our strategy. They're really from trying to find one large tenant who would take the vast majority of the building to a couple of a midsize prospects we have and then think about a multi-tenant approach. We think that will be successful. Certainly Austin's been a bit, a little bit slower to return to the workplace than some other markets. We see that trend improving a bit, but it's certainly behind the other markets. But even then, we're seeing a big push towards the quality components with Block A presents. Did I answer your question?
Operator: Our next question comes from Michael Lewis with Truist.
Michael Lewis: Thank you. So you mentioned the JV that maturing this year, including Commerce Square. And it sounds like there's a lot of interested lenders even though we've obviously heard that financing can be difficult to obtain for office properties in general. So maybe can you speak to the financing environment? And if you're able to share anything regarding what you might be expecting for proceeds or pricing on those loans?
Jerry Sweeney: Sure, Tom, you want to take that.
Tom Wirth: Sure. Mike, hi, it’s Tom. On that we are talking to a number of lending sources, I think that Mike, on the traditional lender side, which are mainly your banks, we are seeing, there has been and continues to be a bit of a pullback on their appetite for new loans, newer origination loans. So we are looking at some of the other opportunities, whether it be maybe securitized type loan, or whether it be one of the debt funds. So there are other sources other than just the traditional banks, although we have a couple of banks looking at it. And I think if they were to do it, it may be with a group of banks rather than one single bank, taking this project due to its size. Pricing is still a TBD, I would expect pricing, though, to be higher than where the debt is today. And we'll see how that progresses over the next month or so. We don't really have a good handle on pricing, we're getting those quotes kind of in the near future.
Michael Lewis: Okay, great. Thanks. And then I read an article recently, arguing that Philadelphia suburban office market might be in trouble because the flight to quality is bringing those tenants into the Center City, you already talked about flight to quality a little bit. But on the other hand there's a theory more broadly that people are going into cities less so perhaps offices in the suburbs are more easily commutable and better position, post COVID. So are you seeing anything in terms of demand in the suburbs versus the city? That you think there's a shift that favors one strategy over the other? I know, obviously, you're involved in both?
Jerry Sweeney: Hey, Michael, great question. We really haven't seen a discernible trendline to tell you the truth. We were expecting to see at certain points more people, either moving into the city or moving out to the suburbs, we really haven’t seen that, we've only seen a couple of tenants from the CBD move out to the city. We conversely seen a few tenants move from outside of the city into the city. So no real discernible trend line by tenant type, or by tenant size. We do continue to see tenants focused on quality in both places. And I think our Radnor portfolio and look the build to suite we did, we announced on Arkema and Radnor is a great example of a company -- a high-quality company, great credit, really can upgrade the amenity space they present to their employee base. And they love the location of Radnor served by 2 train lines and access to Interstate highways. So I think those basic location and quality predicates are in place, whether it be in the city or the suburbs. By far the percentage of folks returning to the office is higher in the suburbs than it is in the city. And even though in the city foot traffic is back to the pre-pandemic levels during the workday mass transportation is kind of on a very positive trend line. It seems as though -- and I know, George, you've had those numbers, what kind of the occupancy, daily occupancy levels in the suburbs are higher than the city. But that has not been Michael a driver and locational decisions as of yet.
George Johnstone: Yes. And just to add on, I mean, in the suburbs, we're seeing closer to a 70% to 75% kind of back in the office, where in the city it's probably on average closer to 50%. But again, there's still a number of large employers that have been even a little bit slower to kind of bring everybody back even on a two -to three-day a week hybrid plan.
Operator: Just one moment for our next question. It comes from Michael Griffin with Citi.
Michael Griffin: Great, thanks. Maybe we can talk on life science demand for a bit, specifically 250 King of Prussia. You noted the stabilization was pushed back a quarter. This is a suburban asset kind of further out from where our city is, you kind of think of that core life science cluster down in CBD Philly? Just -- how confident are you that demand is there for a product like this? And any additional commentary you could give there would be great.
Jerry Sweeney: Yes. I'm sorry, Michael, confident on the demand at 250?
Michael Griffin: Yes.
Jerry Sweeney: Okay. No, I think we're very confident. I think the -- we were trying to market that project is kind of a hybrid life science office. And that really was the predicate behind our kind of leasing assumptions and the capital costs. So as I mentioned, this quarter, we did raise our capital cost by about $20 million. We did increase the yield by $0.2 to the point to 8.2 as we've been marketing that and the building really just delivered recently. So it's in showcase condition, we have a few tenants in there now. It's really become a magnet for life science companies. We put -- we invested a lot of money to the infrastructure of that building. It's really part of our kind of Radnor Life Science Center, which has a few buildings in it and the demand drivers here have been very strong. They've been -- the demand drivers, while they've been strong, they've been a little frustratingly slow in making decisions, which is what we're kind of seeing across the board. But as we look at that pipeline, it's a full bore 100% life science. Some of the larger users we're talking to, Michael, are -- they just tend to take a little bit more time than we frankly would like as they go through their technical requirements and space planning requirements. So just taking a look at the existing pipeline and when they're targeting their occupancy date, that was one of the drivers behind, key drivers behind moving the stabilization date back. But Philadelphia is pretty fortunate where there seems to be some strong life science demand drivers, particularly in University City here in close proximity to the anchor institutions, but also some kind of hubs of life science activity in the suburbs, primarily kind of the Radnor, King of Prussia quarter as well as further north of the springhouse. So you have a couple of those suburban pods that have generated some very good leasing activity on the life science front. And then here in the city, while it's been predominantly University City kind of between 30 and 30 A Street market. There's also been very good pods of primarily manufacturing and low-impact research based down the Navy or and a few other pads around the city as well. So we're actually -- we remain very encouraged with the demand drivers we're seeing on the life science side in both the University City and suburban locations.
Michael Griffin: Got you. That's definitely helpful. And then just on the tenant default in Austin, can you expand on that a bit? And are there any other tenants in your portfolio that might find themselves in a similar situation?
George Johnstone: Sure. Yes, I'd be glad to. Yes, this was a 65,000 square foot tenant at our Martin Skyway project out in the Southwest Corridor. We had a kind of ongoing dispute with them over the course of 2022. They were one of our fully reserved tenants -- so weren't really having a negative impact on the '22 business plan due to the reserve. But -- we just got to the point where we got to a stalemate and proceeded with the next course of action, which was default in eviction and we've now got the space back on the market. And as I said, we've got a little bit of a pipeline forming and do have one lease for about 12,000 square feet that we're negotiating.
Michael Griffin: And I guess, are there any other tenants that you might be concerned could default in the --.
George Johnstone: Yes, really, not at this time. I mean we -- not really at this time, Michael. Tom and his team, along with our asset management folks kind of go through the accounts receivable on a monthly basis, and we're kind of always assessing who's utilizing space versus not utilizing space. And we think that at this time, we really don't have any other risk from that perspective.
Tom Wirth: Yes, Michael, this is Tom jumping in for a second. We did -- as you go back even at the start of the pandemic and where people were getting help and who needed it and where we were seeing credit issues. For the most part, we were fairly lucky in terms of not having a lot of defaults. And most of those where we did give relief are more in the retail area than the office area. So we've been fairly good on monitoring that, and we do monitor the tenant's credit as we go through the year, that our team does a really good job of that. So it's nothing different than what we saw in the first pandemic so we really don't have a lot. This tenant has been on our list is by far the largest one that we've been following. So we really don't see any storm clouds right now that will lead us to think there's going to be any change in our current collection rate and tenant collections.
Operator: And our next question comes from Tayo Okusanya from Credit Suisse.
Tayo Okusanya : Hi, good morning, everyone. I wanted to talk a little bit about just about the dividend. Given the guidance you guys are forecasting a dividend coverage on an FID basis of anywhere between 95 to 105, so you get really tight. Just kind of curious how you kind of think about it going forward, again, especially given your kind of source of the uses of capital in 2023?
Jerry Sweeney: Yes. I guess, let me address that, and Tom certainly feel free to weigh in. Look, it was -- we acknowledge that the payout ratio for '23 will be tight and certainly, it's higher than we've had in the last several years. So as we're thinking about the dividend, we took a hard look and we think we've established a strong but conservative baseline cash flow as a foundational point in our '23 business plan. We'll obviously monitor that closely during the year. But as an example, we started off '22 with a range of 95% to 84%, and we wound up right at 84%. So we become very good at controlling our forward capital cost to making sure that we manage revenue and capital expenditure. So we feel that baseline gave us a good springboard to grow from. We also, as we look at the plan, we expect to sell, as I mentioned, between $100 million and $125 million of properties. In addition to partially liquidating exiting a couple of joint ventures, operating joint ventures. So some of those sales may generate losses, but we also anticipate some gains that could certainly impact our taxable income. So we felt with the baseline cash flow in place, the variable of potential sale gains we felt that it might be premature to take a look at cutting the dividend. And also, we -- as Tom has outlined and you've seen from our announcements, our liquidity is in very good shape. So looking ahead, and certainly subject to change based upon economic circumstances. Right now, we're very confident that our cash flow will continue to grow from this baseline forecast. So quantitatively, we assess that the dividend coverage wallet will be tight, should be adequately covered. And qualitatively, honestly, it's been a very challenging year for office company shareholders. So the Board after getting very comfortable with the baseline cash flow numbers wants to make sure that we really keep our folks on returning as much value as we can pragmatically and conservatively to our shareholder base. So the decision was made to keep the dividend in place. Certainly, the Board as they always do, will monitor that during the course of the year, make any adjustments as appropriate. But that was kind of the thought process. So hopefully, that answers your question.
Tayo Okusanya : That's very helpful. And then just a follow-up on the JV debt side. Could you just give us a general sense at this point of where you think you could raise debt for a lot of the upcoming debt maturities and if you would consider kind of putting any kind of swaps on some of the outstanding variable rate debt?
Tom Wirth: Sure, Tayo, this is Tom. I'll jump in on that. I just wanted to follow up on Jerry's comment on the dividend. As we looked at our dividend this year, our dividend because of our gains on the sales that we did have, we ended up having full utilization of the dividend between operating income as well as the gains. Our goal has always been to kind of keep it monitored and stable rather than giving out sort of onetime dividend or special dividends to the extent we have gained. So I thought we monitored that this year and basically came in right on top of our actual dividend. And so we'll monitor that again as we look at the sales, we have quite a bit in the market. That may generate gains that we know will happen and would certainly dictate whether we would keep the dividend in place for those reasons as well. As we look at the debt on the JVs, we are looking at probably executing on maybe a couple more swaps for the debt that's in place. So there may be increases to that from where they are right now. And then on the rates, we are looking a little further out. The rate seems to dip as we get into '24. We are talking to a couple of banks about extensions to those loans. So to the extent we can get those extensions, most of the properties are performing well. The occupancy in general is about 80% on the whole portfolio but they're still performing pretty well, leaving good leasing activity. So we would hope that if we can get some extensions on the debt, we may then talk to our partners about fixing the debt looking out on the curve at something that might be lower than where that curve is today.
Operator: And our next question comes from Camille Bonnel from Bank of America.
Camille Bonnel: Hi, good morning. This morning, you mentioned the quantum of disposition targets this year. Can you talk to the asset types or geographies you're looking to sell? And more broadly, what your expectations of when we might start to see pricing stability for office properties?
Jerry Sweeney: Yes. Great question. Good morning. Right now, as we look at our sales program for '23, actually, in all three of our markets, we've identified a few properties for sale. That includes Philadelphia as well as the Pennsylvania suburbs. Several properties we target for sale in our Washington, D.C. operation, also looking at test marketing a couple of properties in the suburban areas of Austin. The -- we have a number of properties in the market now. And in terms of pricing, I honestly think like everybody is out there doing price discovery. So sellers are trying to figure out what they think pricing will stabilize that. Buyers are trying to figure out where debt yields will be and what kind of price they can pay. So we've actually been pretty happy with the volume of confidentiality rooms that have been signed, people are reviewing the packages and checking out the share file rooms on the due diligence as well as the number of tours. So to give you an example, we have one property on the marketplace where we launched it back in January. This is in the Pennsylvania suburbs; we already have a 56-confidentiality agreement signed. Now how they all translate to pricing; I really don't know at this point. That's one of the reasons why we're going to get as many things in the market during the course of the year as we can. We do know that as a couple of questions have come up and Tom's articulated, the debt markets, while not ideal, are certainly better today than they were in the fourth quarter of last year. So we are seeing -- and we certainly are seeing that through our Commerce Square financing. The number of lenders looking at that has certainly been a pleasant surprise to us. Where, again, pricing and terms come out, we don't know. But certainly, a lot more lenders are out there looking for high-quality office loans. And we think once we get more clarity on that, we'll get more visibility on pricing. But right now, we're targeting cap rates from the very high 6s, low 7s up to 9 once given the quality of some of the properties we're selling. But until we actually get offers in, I really can't give you a definitive read. We've thought carefully how we want to sequence some of these properties in the market during the course of the year. And to some degree, that pace will be modulated based upon what we see happening in a macro term level and what we're hearing from exists from lenders on some of these current refinancings I think if we see that the lending market is opening up a bit and spreads are compressing and terms are a little more favorable, we might accelerate some of those sales opportunities going to the marketplace to take advantage of that window. Is that helpful? Does that answer your question?
Operator: Our next question comes from Dylan Bazinsky with Green Street.
Unidentified Analyst : Good morning, guys. And thanks for taking the question. Just curious if you can kind of comment on your expectations for net effective rent growth across the portfolio?
Jerry Sweeney: Yes. George, want to comment on that?
George Johnstone: Yes, absolutely. And good morning, Dylan. Look, it varies a little bit market to market. But I think in our Philadelphia and Pennsylvania suburban markets, is probably where we see the best opportunities. When we kind of look at our CBD portfolio today, I mean, average lease is probably 5% below market today. So we do have continued opportunities as people roll to market. And depending on when those leases were last executed, we're seeing our best mark-to-market coming out of Philadelphia. So rental rate pace is outperforming the increases we've seen in construction costs and even in free rent requests. So I think Philadelphia, Pennsylvania suburbs are kind of on the plus side as it relates to net effective rent growth. And I think in Austin, we are probably flat to slightly down when you look at both where rental rates are kind of currently and factoring in where construction pricing has gone.
Jerry Sweeney: Yes, I think Dylan add on to that. I mean, we've been very happy with the kind of the mark-to-markets that we've been receiving on particularly our University City, CBD and PA suburbs properties. And one of the things that we really do monitor and one of the key points we evaluate, look at our business plan is when we take a look at our '23 activity, leasing activity, our capital ratios are actually lower than they in '23 on a projected basis in '22. And that's even given the composition of the leasing activity that we've targeted. So we continue to remain pretty charged up about the ability to drive effective rent growth in a couple of our core markets University City here CBD filling in Pennsylvania suburbs. As George touched on, I mean, candidly, we're somewhat of a price taker in our D.C. operation and have not really had positive mark-to-market there for a number of years and capital costs have remained fairly static, but so down to decrease to that. And then Austin, look, we have some holes to fill in the Austin portfolio in '23 and '24. So we're very much in a very aggressive marketing posture to get those spaces at least up as soon as possible. Those leases again are done on a triple net basis. So we built a bit of an inflation hedge in. Construction cost increases have moderated across the board but are still upward bias. I mean we're seeing big decreases in construction costs kind of on building superstructure issues that don't really play in too much into TIs, which is basically sheetrock electrical, carpeting, et cetera, which anything that's controller-based still tend to have upward is the pricing model. So hopefully, that provides some clarity for you.
Unidentified Analyst : Yes. No, that was extremely helpful. I appreciate the color there. And then just touching on the Conshohocken asset. I think you mentioned it traded at a sub-6% cap rate. Is there anything that's kind of driving that cap rate lower than sort of the high 6s to low 9s that you had mentioned in the previous question? I guess I mean in the rest of your suburban portfolio?
Jerry Sweeney: I think for the properties are really well located like 4 Tower Bridge and our other contracting props, our Radnor properties. We certainly love the very low end of that cap rate range I quoted is in place. I think for some of the other products, particularly in the, I call it, kind of the D.C. marketplace kind of Northern Virginia, where effective rent growth has not been that great as we just touched on, I think there, we're thinking that those properties are trading closer to the midpoint of the range I gave before. But I mean we're still seeing very good demand. Again, somewhat driven by debt costs, I want to caveat my answer but every time we talk to a potential list of buyers on a really premier asset with good weighted average lease term, good lease structures, no deferred capital good credit tenants. We're actually seeing pretty good demand. How that all translates to pricing nuance we have to see how things play out during the course of the year.
Operator: Our next question comes from Bill Crow with Raymond James.
Bill Crow: Hey, good morning, Jerry. As you talk to your joint venture partners, do you sense an increased interest in selling assets rather than financing at today's rate? Is there increased pressure? And I guess -- the other part of that is what does it mean for future joint venture agreements?
Jerry Sweeney: Yes, Bill, good question. As we look at it, all these joint ventures we enter into on the operating side, really are really transitional financing strategies for us. So in the past, we've done a lot of joint ventures. We exited a lot of joint ventures and some of the joint ventures we have today are frankly kind of reaching the end of their targeted useful life for both parties. Certainly, we probably would have been more active on the JV front in the second half of '22 if the capital markets have been more cooperative. But as we're talking to all of our joint venture partners today, there on the operating side, every discussion includes is now a time to sell the assets is now time to sell one of the assets. What should we think about doing in terms of recharacterizing the platform. So it was really based on a lot of those discussions, Bill, that we kind of put into our prepared comments that we do expect to recapitalize partially exit or exit a couple of those joint ventures during the course of '23 whether that's through a buy-sell mechanism where we sell our interest. We have a seven or eight property portfolio with one particular partner, and we sell two or three assets out of that, refinance out the balance. All those discussions are very active. And we're blessed that a lot of our joint venture partners are really smart, too. They're very smart operators. They understand the real estate business. They're pragmatic. They understand the realities that we're facing and trying to sell and refinance properties day. So all of the discussion with every partner is productive, constructively focused forward on how we maximize returns to both parties. So we do think the first half of '23 will be very interesting in terms of getting some of these financings done, but more importantly, developing a 12- to 36-month horizon on how we can actually recycle out of some of these operating joint ventures. Is that helpful?
Bill Crow: Yes, I think so. And then for either you or Tom -- just curious, what of your West Coast peers cut their dividend but then implemented a share repurchase platform. And I'm just curious how you're thinking about, given where your stock is trading, the implied cap rate, et cetera, kind of the trade-off there between a lower dividend but getting more active on the repurchase side?
Jerry Sweeney: Yes. Look, I think that -- look, it's a sound strategy that company is using. And I think our approach is let's generate some surplus liquidity through selling assets, keep the return levels to our existing shareholders where it is. And as we certainly can generate excess liquidity through some asset sales as you -- as we talk about some joint venture liquidations. As I mentioned in my comments, I think both share buybacks and debt buybacks of our longer-term debt are certainly on the table on a leverage-neutral basis. But we're very focused on continuing to grow cash flow very focused on as part of that, reducing our overall leverage metrics to provide more capital flexibility. But there's no question that both share and debt buybacks are on the table and Tom and I monitor that very carefully, really the driver there being how we view near-term source of liquidity to implement either one of those tactics.
Operator: Thank you. And there are no further questions in the queue. I'd like to turn the call back to management for closing remarks.
Jerry Sweeney: Great. Catherine, thank you very much. And everyone, thank you very much for participating in our call. We look forward to updating you on our '23 business plan progress on our first quarter call later this year. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.